Operator: Good day, ladies and gentlemen, and welcome to the LATAM Airline Group Earnings Conference Call 2Q 2023. [Operator Instructions] Before I turn the call over to management, I'd like to remind you that certain statements in this presentation and during the Q&A may relate to future events and expectations and such as constitute forward-looking statements. Any matter discussed today, there are not historical facts, particularly comments regarding the company's future plans, objectives, and expected performance or guidance, are forward-looking statements. These statements are based on a range of assumptions that LATAM groups believe are reasonable but are subject to uncertainties and risks, are discussed in detail in CMS and SEC filings. The company's actual results may differ significantly from those projected or suggested, and any forward-looking expense to the variety of factors which are discussed in detail in our SEC filings. And if there are any members of the press on the call, please note that for the media, this is an analyst-only call. I would now like to hand the conference over to CFO, litany Groups, Ramiro Alfonsín. Please go ahead.
Ramiro Alfonsín Balza: Thank you, Roberto. Hello, everyone, and good morning. Welcome to our Second Quarter 2023 Conference Call, and thank you for joining us today. My name is Ramiro Alfonsín, and I'm the CFO of LATAM Airlines Group. Here with me today is Mr. Roberto Alvo, CEO of LATAM Airlines Group; Andrés Del Valle, VP of Corporate Finance; and Tori Creighton, Head of Investor Relations, and we will present our highlights and results for the second quarter of 2023. I'd like to pass the presentation to Roberto for some opening remarks before we go into the numbers.
Roberto Alvo Milosawlewitsch: Thank you, Ramiro, and good morning to everyone. I'd like to start by commenting that, ultimately, I think that the second quarter results are a clear demonstration of the new LATAM post-restructuring, and it's great to see this new LATAM and how it is working. The LATAM Group has an ever-strengthened network today, a leading value proposition for customers, a business and geographic diversification model that is unique, and a rigorous cost discipline that followed with the saving initiatives implemented in the restructuring process, are complementing our very strong balance sheet as well. On top of it all, in June, LATAM exited definitely Chapter 11, it was the case officially closed before the U.S. bankruptcy court. The terms of financial highlights in the second quarter of 2023, we are reporting our double-digit adjusted operating margin of 10.1% and the bottom line net income of $145 million. This result was mainly driven by the increase in passenger operations, a healthy demand context amid decreasing jet fuel prices, and, of course, reinforced by the group's unique value proposition and the preference of its customers. I'm very pleased that the group's customers chose LATAM for the fourth consecutive year as the best one in the region at the SkyTrackWorld's Best Airlines 2023 ceremony. Please join me on Slide 2. This quarter is a unique quarter as we have reported the best second quarter in the history of LATAM. We are seeing healthy demand levels that contributed to the positive second-quarter results and make us cautiously optimistic for the future as the booking curve continues to reflect stability. During this quarter, second quarter, we reported a demand increase of 28.6% compared to the second quarter of last year, where the international demand continued recovering an increase by 44.5%, reaching a capacity of approximately 80.5% as compared to the same period in 2019. Regarding consolidated capacity recovery, we reached 93% versus the same quarter of 2019. In the second quarter, the group continued to strengthen its irreplicable network operating 143 passenger destinations as of today. The JV with Delta Airlines is progressing, and during the first half of the year, 6 new routes have been launched. Together, LATAM and Delta are #1 in share of routes connecting South America to North America within the JV scope. Furthermore, as we mentioned in our last quarterly conference call, Amerens Colombia added 5 aircraft to its market, increasing its capacity by approximately 20% and consequently increasing its market share to 33% during the second quarter from 24% in the previous quarter. As I said before, we had a record second quarter. The adjusted operating income was $271 million with a 10.1% adjusted operating margin, and we posted a record adjusted EBITDA for the first half of the year, reaching $1.1 billion. It is important to highlight that the results of the new LATAM are not just reflected in our P&L but also on our capital structure. We continue improving our balance sheet ratios, reporting a total liquidity of $2.6 billion and generating $110 million of cash this quarter. We also managed to reduce our adjusted leverage to 2.4x from 3.0x in the previous quarter. Lastly, having incorporated the strong results in the first half of the year and looking at the stable demand environment, we decided to raise our guidance for the full year of 2023, forecasting an adjusted EBIT margin of 10% to 11% and an adjusted EBITDA of $2.35 billion to $2.5 billion for the whole year. This is all made possible by the support of the more than 34,000 employees that make up the LATAM group and work hard to push ourselves to be better and deliver continuously superior products to our passengers. A big thank you to all of them, and a big thank you to our customers for their loyalty. With that, I turn over to Ramiro to continue with the presentation.
Ramiro Alfonsín Balza: Thank you, Roberto. Without a doubt, we are all energized with the results of this quarter and how LATAM is performing. Digging deeper into the various points that Roberto mentioned that contributed to our very strong second-quarter results, I'd first like to comment on the demand environment on Slide 3. We have seen a healthy demand environment, and the group sustainably increased its capacity in line with it. In the second quarter, the group noted a consolidated capacity increase of 28% compared to the same period of last year, with demand increasing 28.6% and the resulting load factor of over 80%. The group's revenue per ASK reached $0.07, showing an increase of 3.5% compared to the second quarter of 2022. All this in the context of fuel price is 29% lower than the previous year. Capacity in domestic Brazil increased approximately 18% compared to the second quarter of 2023. Capacity in Spanish-speaking countries, referring to domestic operations of LATAM affiliates in Chile, Colombia, Cordora, and Peru, grew 6.5% year-over-year. International operations are the strongest drivers of both demand and capacity growth. Capacity increased 48%, and we reported a healthy load factor of 83% during the period. Revenues per ASKs on the International segment increased 4.7% versus the second quarter of 2022, reaching $0.067. When we look at the LATAM Group affiliate's market shares on Slide 4, we know that they continue to be highly competitive in all the different segments where we operate. During the second quarter, LATAM Airlines Brazil increased its domestic market share to 38%. The Brazilian domestic network has continued to increase with the implementation of the new codeshare with VoePass that added 3 new destinations for our customers. In the second quarter of 2023, LATAM Airlines Colombia's domestic market share increased significantly to 33%, as Roberto mentioned. LatAm Airlines Chile is #1 in domestic market share with a second-quarter market share of 57%. It also increased frequencies to Easter Islands to 6 flights per week, improving the connectivity and tourism to the iconic Island from the continent. LATAM Ella Peru reported a domestic market share of 61%, and LATAM Ecuador posted a 40% market share in its domestic market. During the first half of 2023, the group transported 34 million passengers. That is 20% higher than the first half of 2022. By far more than any other airline group in the region, and we carried 20 million passengers in the group's domestic operations. This is a result of the leading market shares accompanied by an efficient cost structure and healthy levels of liquidity, allowing for continued organic growth. Please join me on Slide 5. LATAM Group International operations continued to increase. As we have seen, international operations are the current key driver of growth, growing 48% over 2022. The international operations now represent approximately 40% of LATAM's total revenues in the first half of the year. Within the South American countries, the group operating 43% of travel occurs on a LATAM Group aircraft. Notably, LATAM Group has the highest market share on routes to North America, reaching a capacity share of 19% between North America and South America, which increases to 26% when adding Delta's capacity share, now operating under the JV agreement. Regarding the JDA, 3 new international routes were announced this quarter, and another route is increasing frequencies. In the second half of the year, LATAM Group will connect South America to 4 continents with the return of LATAM Airlines Brazil, Sao Paulo to Johanna per group. In this context, our Brazilian affiliate also announced an agreement with the South African carrier AirLink adding 14 new destinations to the network, facilitating new destinations for our customers. LATAM is very proud of the important presence that the group has been able to build throughout its entire network in a growing segment of international travel days. Let's take a look at the results of the quarter on Slide 6. In the second quarter, LATAM noted a record second quarter. Adjusted EBIT margin was over 10%, and adjusted EBITDA amounted to $559 million. Total operating revenues increased 20% compared to 2022 levels. As operations continue to recover, passenger revenues increased approximately 33% over the same period of 2022. Cargo revenues, on the other hand, registered a 23% decrease, mainly explained by the softening of the cargo yields but are still over 2019 levels by 26%. Total adjusted operating expenses during the quarter increased by 2.8% versus 2022. This is mainly explained by a 28% increase in the operations and offset by the 29% decrease in fuel prices during the quarter compared to 2022. Ex-fuel-adjusted operating expenses were up 12% from 2022 levels, while our capacity increased by 28%, speaking about the efficiencies that the company is generating while growing. LATAM reported a passenger CASK ex-fuel of $0.43, 10% lower than 2022, reflecting the group's important cost-saving implemented. Net income, as Roberto mentioned, amounted to $145 million in the second quarter and $267 million for the first half of the year. The group also generated cash by $110 million, therefore, improving our liquidity position to $2.6 billion. Last but not least, we are presenting our total free cash costs for the quarter, that was $180 million, and in the first half of the year is $379 million. As we have mentioned before, it's important to note that this singular fleet cost is extremely competitive and based on the unique prices we negotiated in Chapter 11. As you can see in the next slide, LATAM Group has seen a sustained ramp-up in its capacity. Recovery has allowed us to reach 93% of 2019 operations in the last quarter. Compared to a year ago, last 12 months EBITDA generation almost tripled, generating nearly $2 billion in the last 12 months. This is our seventh consecutive quarter of positive EBITDA. Let's turn to a summary of our cash flow statement on Slide 8, which is a critical part of the financial statements, and we consider cash flow generation to be the true measure of the company's performance. In the second quarter of 2023, LATAM generated a positive cash flow of $110 million, driven by a very strong adjusted operating cash flow of $541 million in the quarter. This strong result was mainly due to the recovery in operations and the ramp-up in demand during the first part of the year. As a result, LATAM was able to cover its investments, including maintenance and growth, which mainly consisted of engine maintenance, part of which was staggered during the pandemic, resulting in a positive unlevered free cash flow of $276 million for the quarter. Engine job visits and other supply chain delays have pushed CapEx to the second semester, and we expect to be in line with our forecast by the end of the year. This is the third quarter with positive cash flow generation for LATAM. Let's turn to our main financial ratios on Slide 10. LATAM Group liquidity reached $2.6 billion this quarter and presented $1.5 billion in cash and cash equivalents. This represents 24% of liquidity as a percentage of the last 12 months' revenues. In terms of leverage, the group reached an adjusted leverage of 2.4x, the lowest since 2012. This capital structure sets the group apart and allows us to be extremely competitive and to look for growth. When we look at our debt maturity profile, it's important to highlight that LATAM has no significant non-fleet debt maturities in the next 4 years. As of today, LATAM only has maturities coming from our exit financing due in 2027, including the $450 million 5-year notes and the Term Loan B of $1.1 billion. It is worth mentioning that the 5-year notes and the Term Loan B both amounted to more than half of the exit financing can be refinanced starting the fourth quarter of 2024. Please join me on the next slide. As Roberto mentioned, on the back of our strong results in the second quarter and the stable demand environment, we raised our guidance with a better perspective for 2023. Our adjusted EBIT margin forecast for the full year is now 10% to 11%, with a considerable increase from the previous guidance of 6% to 8%. Adjusted EBITDA increased to between $2.35 billion to $2.5 billion. We expect to finish the year with 2.4% to 2.5% of adjusted leverage, considerably lower than the 3x originally announced in the January guidance and explained by the decrease in the net debt and the expected operational results for the year. On the next slide, with regard to our fleet plan, we all know that the industry is facing important capacity constraints in light of delays for aircraft deliveries and engine maintenance. This is a reality that will probably have an impact in the next years. And in that context, it's important to note that we have important orders with manufacturers. And this year, we have already received 6 aircraft. Furthermore, we will be receiving aircraft directly from the source that will complement the new fleet deliveries. We are very confident in our ability to deliver on our guidance for the full year '23 and the fleet plan growth, given this mix of new and previously leased aircraft and the flexibility in retirement management strategies that we have in our current fleet. Finally, during this quarter, we have advanced on ESG initiatives, specifically with regard to climate change and circular economy. Within the Climate Change pillar, this quarter, LATAM groups started the program 1 plus 1 offset to conserve. This program offers LATAM Group's passengers the possibility to help protect and conserve iconic ecosystems of our region and their biodiversity. For every ton of CO2 that is compensated by customers, LATAM compensates the same amount doubling the impact. LATAM Airlines Colombia announced the partnership with DoD, one of the main companies in Colombia leading the search for sustainable energy solutions with seeks to develop enabling conditions for SaaS production in the region through the exchange of best practices, information, and technical knowledge. Also related to sustainable fuel LATAM Group's partnership with CineMago and the Lead Flowers purchased 25,000 liters of SaaS to reduce emissions equivalent to Bogota to Miami cargo flight. Within the circular economy pillar, LATAM Cargo affiliates were distinguished by IATA as winners of the Cargo Innovation Award for its plastic reduction projects in its cargo operations in Chile and Brazil. The initiatives were designed by employees of the cargo affiliates and are part of the group's commitment to achieve 0 waste to landfill by 2027. Finally, LATAM Group reached an 88% reduction of single-use plastic in onboard passenger services, an 82% reduction in the group's total operations. In summary, to finalize on Slide 14,  within the context of a healthy mind environment, LATAM Group increased its capacity by 28% and is strengthening its network, and particularly reinforcing the JV with Delta Airlines. Our international capacity grew 48% this quarter with a healthy load factor and revenue per ASK. On the back of a very strong second quarter in which LATAM reported a double-digit operating margin, adjusted EBITDA of $559 million quarter-over-quarter, cash generation and liquidity improvements reaching $2.6 billion, and an adjusted leverage of 2.4x, we have announced improved guidance. LATAM raised its projection of adjusted debit margin to 10% to 11% for 2023 and adjusted EBITDA between $2.4 billion to $2.5 billion. The strength in network cost structure, capital structure, and the leading South American brand continued to set the group apart, and this second quarter results and fiscal year guidance projections reaffirm that the LATAM Group business model is working. Thank you, and I will now turn the call to the operator for the Q&A segment.
Operator: [Operator Instructions] The first question from Guilherme Mendes from JPMorgan.
Guilherme Mendes: I have 2 questions. One is to follow up on the guidance. We see the capacity was slightly revised downwards, but still revenues and margins with revised upwards. I guess part of that is related to yields, which has been enterprise into the upside over the past few quarters. Just wondering what is the outlook for yields for the second half of this year and which region you are seeing most upside on. And the second question is regarding Colombia. What is the outlook post the visa situation? We are seeing that you are adding more capacity in the region. If I'm not mistaken, on a previous call, you mentioned gearing getting to 35% market share. So it seems we're pretty close to it. Just wondering what the additional capacity addition we should see over the past -- in the next few quarters.
Roberto Alvo Milosawlewitsch: Thank you, Guilherme. This is Roberto. So on your first question, yes, capacity is a little bit lower, and this is mostly related to aircraft fleet delays, particularly on our wide bodies. So we are not seeing, I think, at this point in time, a significant change in our demand environment expectations for the remainder of the year. And we are adjusting basically capacity based on the ability we have to operate the fleet we have and what we expect in terms of aircraft deliveries. Having said that, I don't think that any potential delays, whether it's on the engine manufacturing side or the very aircraft is going to be relevant for our operation for the remainder of the year. In terms of our domestic operation in Colombia, yes, we reached 33%. Slots for the winter season in the Bogota port were awarded a few weeks ago. We're very happy with the result we hold now. I would say, a very significant and important slot allocation for the Bogota port that allows us to have, particularly for the corporate market in domestic Colombia, a very good product. and we feel good and confident with respect to what we have achieved in Colombia. For the remainder of the year, as we said, we have included these 5 aircraft, and we're going to operate a network that I think will help Colombia see LATAM as a real alternative to traveling not only within Colombia but also internationally. And particularly, in our JV with Delta, we announced Miami, Bogota flight, Orlando flight and Delta will operate a Cartagena Atlanta flight as well during the remainder of the year.
Guilherme Mendes: Many things. Just one follow-up on the yield side, if you see any upside on the new guidance?
Roberto Alvo Milosawlewitsch: Yes, yields are embedded in our guidance at this point in time. But if I can give you a sense, I think that we see demand stability, and I don't think that we will see, hopefully, any major changes with respect to what we have posted in the first semester on average.
Operator: The next question is from Andre Silveira from Bradesco BBI.
Andre Silveira: Can you provide a little more color on the international markets? So first, how is the management in the different markets? And second, related to the capacity expansion, in what region should your focus be? And where do you see the most opportunities?
Roberto Alvo Milosawlewitsch: Yes. And so I think that we see good demand in more of the international segments. I would say that Europe probably has been a little bit stronger than the U.S. I think that there's a good reason for this. And it is that as the pandemic stops the issues of visas for Brazilians to the U.S., there's a long queue for those being given back in Brazil. And that's easing up, but I would say that the mark is a little bit of a delay, probably in the U.S. And because you don't need a visa to Europe, you can see a little bit the difference of point-of-sale strength. But both long haul to the U.S. and Europe are healthy. South Pacific has returned nicely as well. And what has been always a little bit behind since the beginning of the pandemic is what we call regional, which is international within South America, but this is where we have seen probably the biggest recovery in this quarter. I would say that the pockets of weakness today in international is very limited, and they are more related to steel lingering effects of the social crisis or the crisis or political crisis that happened in Peru in the beginning of the year and inbound traffic from Europe and the U.S. and probably passengers decided to book for the summer season going elsewhere than Peru on that situation. We have seen a recovery, but this is probably the place where we have seen a little bit more lag. Otherwise, I would say that international has returned in a healthy fashion.
Operator: And the next question from [indiscernible] from Barclays.
Unknown Analyst: Congratulations on the quarter. I have 2 quick questions. When I look at the guidance for net debt at the end of the year, obviously, there is a decent amount of growth from net debt here today, $900 million to $1 billion. Curious if you can help us understand the drivers behind the increase in net debt between now and the end of the year. And the second question I have is related to cash flows. Nonfleet fleet CapEx and non-maintenance CapEx, you're tracking about $100 million year-to-date in your business plan coming out of the bankruptcy, that number for the year was a lot higher than on the full year. Is this just a timing issue where you're seeing a reduction in the need? Or is this kind of a new run rate that's lower than what you guys expected initially?
Ramiro Alfonsín Balza: Yes. Thank you, Calin, for that question. This is Ramiro. So on the net debt, there is no incremental debt on the financial side. We have ample liquidity to operate our operations. So there is no forecast of incrementing financial debt itself, but we are receiving aircraft into the second half of the year, and that shows per IFRS 16 in our debt, and therefore, you see that increase in the net debt. We are expecting to receive those aircraft in the second half. Regarding nonfleet CapEx, we have been cautious during the beginning of the year regarding our CapEx investments. We think that we're going to be meeting our forecast for the remaining of the year in line with the business plan as we're going to be recovering the pace on engine maintenance because there are some delays that we expect to recover during the second half of the year, so we should be in line with the business plan, Karig.
Unknown Analyst: Okay. And then one last question, if you don't mind. The CASK x fuel guide is higher versus the last guidance. Can you just help us understand the drivers behind that?
Ramiro Alfonsín Balza: Yes, absolutely. It's a little bit embedded by -- because we trimmed a little bit of capacity. And the second factor, I would say that's the most important one is the exchange rates. We have seen an appreciation of currencies in the whole region, particularly the Brazilian real, but also the Chilean peso and the Colombian peso. So that when you look in dollar terms, that is impacting our case, all the initiatives that we have forecasted in terms of cost savings are producing the results we anticipated. So we're well on track on the initiatives, but there is an impact of the FX exchange rate.
Operator: And the next question from [indiscernible] Citi.
Unknown Analyst: And my first question is, do you have any updates on the Level 2 ADR listing? And as a follow-up, could you walk us through a little bit about why you adjusted the wages on your earnings and not just aircraft rent-related items when you gave us the adjusted earnings for the quarter?
Ramiro Alfonsín Balza: Yes. Thank you. So there's no update yet where there are various factors that we're considering for the right timing for the ADR release. We're going to keep the market informed once the decision is made. And regarding the adjustments, were basically adjust there are 2 significant adjustments. One is the PDH, the payment by the hour. During Chapter 11, we negotiated some flexible terms with certain counterparts that [indiscernible] accounting measures. You still have to depreciate your assets and also account for the PDH and the aircraft rentals. So there's a sort of double counting on the P&L of the fleet cost, and that is why we're adjusting the PDH. And on the wages itself is because during the half level, it was approved the corporate incentive plan that is named as a bonus, and other companies do not have this mechanism. So in order for analysts to compare better with other companies, we are also adjusting that portion. That portion of the corporate inserting plan in the second quarter was approximately $10 million, $11 million.
Operator: And the next question is from Neil Glynn from Air Control Tower.
Neil Glynn: The first one, you've obviously reported a record second quarter, and this is becoming an increasing theme in Europe, APAC, the U.S. almost everywhere. And I'm wondering how to just make you think about sustainable margin levels beyond such a strong 2023. How do you think about this period as an exceptional period as capacity comes back versus the permanent effect of the strength you're seeing? And then the second question, I realize it's early in the stage of life of your joint venture with Delta. And Delta obviously has an expansive network of fellow partners around the world. I'm interested in how you think about the opportunity of leveraging this on loans that don't touch the U.S. as you continue to grow your international and intercontinental businesses.
Ramiro Alfonsín Balza: Yes. So on the first question, we're not commenting on beyond 2023 at this point in time. However, I get the sense we have here is that we have seen a healthy demand recovery. And when we try to estimate the spend as a percentage of GDP in the region where data is not really great, we don't see a significant deviation as to pre-pandemic levels. So we see demand in 2023 as a good baseline for thinking about growth in the future. Of course, this industry is related very clearly to GDP, and we will see what happens with the economic projections in the region going after. But we don't see 2023 as an exceptional year in terms of demand. And I think that we are still seeing the final probably bits of the recovery period arriving to a place that doesn't look to be very different than what air travel was before the pandemic. And in that sense, we take this environment is a good recovery progress point from what the last 3 years have been. Regarding the second question. So at this point in time, our focus is implementing RGB with Delta. This is 8 months only. I'm very pleased with how the teams are working and the results we're seeing. Our passengers are clearly having a better sense of the opportunities that a JV provides, launching 7 routes or announcing 7 routes in 6 or 7 months. I think it's a record for a JV, and we're very happy with the results. And of course, we look forward to seeing how we increase the network of our commercial relationships going forward. But at this point in time, I think that the focus is in making sure that the JV with Delta is successful.
Operator: [Operator Instructions] There are no further questions at the moment. I will hand the conference back to management for closing remarks.
Roberto Alvo Milosawlewitsch: Thank you. Thank you, everyone, again, for joining us today. And as always, our Investor Relations team is around for any further questions. Have a very nice day. Thank you.
Operator: And that does conclude the conference. Thank you for participating. You may all disconnect.